Operator: Hello, and welcome to Broadstone Net Lease's First Quarter 2025 Earnings Conference Call. My name is Emily, and I'll be your operator today. Please note that today's call is being recorded. I will now turn the call over to Brent Maedl, Director of Corporate Finance and Investor Relations at Broadstone. Please go ahead.
Brent Maedl: Thank you, everyone, for joining us today for Broadstone Net Lease's first quarter 2025 earnings call. On today's call, you will hear prepared remarks from CEO, John Moragne; President and COO, Ryan Albano; and CFO, Kevin Fennell. All three will be available for the Q&A portion of this call. As a reminder, the following discussion and answers to your questions contain forward looking statements, which are subject to risks and uncertainties that can cause actual results to differ materially due to a variety of factors. We caution you not to place undue reliance on these forward-looking statements and refer you to our SEC filings, including our Form 10-K for the year ended December 31, 2024, for a more detailed discussion of the risk factors that may cause such differences, and note that such risk factors may be updated in our quarterly SEC filings. Any forward-looking statements provided during this conference call are only made as of the date of this call. With that, I'll turn the call over to John.
John Moragne: Thank you, Brent. And good morning, everyone. I am pleased to report strong first quarter results, demonstrating continued disciplined execution and the unique benefits of our strategy. We remain focused on driving long term shareholder value and believe our differentiated business model, consisting of our four core building blocks along with an investment grade balance sheet, positions us well in the current environment to drive attractive growth for our shareholders. We continue to find success growing our build to suit pipeline through both existing and new relationships, providing visibility to embedded revenue growth through 2026 and into 2027, a distinct advantage in the triple net lease landscape, particularly amid ongoing market uncertainty. Year-to-date, we have invested $103.9 million in new property acquisitions, build to suit developments and revenue generating CapEx. We have approximately $305.9 million of committed build to suit developments with $255.8 million in remaining estimated investments to be funded through the third quarter of 2026 with initial cash cap rates in the 7% and straight line yields in the mid-8s to mid-9s. And we have $132.9 million of acquisitions under control and $4.5 million of commitments to fund revenue generating CapEx with existing tenants. Importantly, and I want to emphasize these points, our $305.9 million pipeline of in process build to suit developments is fully signed up and committed, we now own or control the land, construction is underway and on time, and we have locked in approximately $22.6 million of incremental ABR today that will come online later this year and during 2026, representing approximately 5.6% growth in our current ABR. These committed build to suit developments represent long term, high quality, de-risked and value creating growth that is unique in this triple net lease space. We continue to be incredibly excited about this differentiated strategy and very much look forward to making additional project announcements in the months ahead. In that vein, last week, we announced the addition of a new $78.2 million project to our pipeline of build to suit development commitments. For this project, we are excited to be partnering with the development team at Prologis, marking another significant milestone in our growing pipeline and our expanding network of development partners. Ryan will have more details on that new project and relationship in a few moments. As we've been emphasizing over the last year, we believe our differentiated strategy provides a unique and compelling opportunity for growth in net lease with top tier in place portfolio performance, a willingness to invest in our relationships and improve the quality of our portfolio through revenue generating CapEx with existing tenants, a robust, resilient and laddered pipeline of development projects providing attractive, long term and derisk growth opportunities and a proven ability to also grow through regular way acquisitions. We believe Broadstone Net Lease holds the promise of a brighter tomorrow and that our best days and shareholder returns are ahead of us. We are making incredible progress on our strategy and remain focused on differentiated and disciplined growth, but it's important for us to also recognize the risks presented by the current macroeconomic environment. We are paying close attention to the impacts from actual or potential tariffs, the conditions in the overall economy and the capital markets and the health of the consumer and spending trends. There are certainly pockets of incremental focus but nothing that we can't handle. Although, the headlines may be different today, we have dealt with more than our fair share of uncertainty in our history and know how to manage it. Broadstone Net Lease was formed in October 2007 and is coming up on its 18th anniversary as a net lease REIT later this year. And with the management team averaging a decade's time with the company, this isn't our first rodeo. Starting with prudent and disciplined underwriting, continuing with proactive and aggressive portfolio management and bringing a laser focus to maintaining a fortified and flexible balance sheet, we are ready and equipped to manage through this period as well as anyone. With a high quality portfolio with strong operating metrics, 204 different commercial tenants, no single tenant accounting for more than 4% of our ABR, 99.1% occupancy and 99.1% rent collection for the first quarter, this is a resilient and diversified portfolio designed to weather and navigate any environment. As you saw in our earnings release last night and you will hear more from Kevin in a bit, we are maintaining our 2025 AFFO guidance range at $1.45 to $1.49 per share or approximately 3% growth at the midpoint. Given several positive developments we have experienced so far this year, including the building momentum in our investment strategy, satisfactory resolutions of certain tenant matters, including Zips' as you will hear about from Ryan in a few moments and incrementally lower operating expenses, we considered raising the bottom end of our guidance range this quarter. With a high level of macroeconomic uncertainty, however, we felt it would be prudent to maintain guidance this quarter and revisit our range as well as the underlying assumptions as the year progresses. Later this year, we also hope to be able to provide you with a preview of our forecasted base case growth for 2026 based on the contributions we expect to receive from our core building blocks and our execution in 2025. During our fourth quarter earnings call, I told you that we have ambitious goals for the year and that we intended to meet or exceed them, positioning BNL for even better growth in 2026 and beyond, none of that has changed. And that includes our goal of adding at least $500 million in additional build to suit developments to our committed schedule of projects that would stabilize and begin paying rent in 2026 and 2027, further strengthening our build to suit ladder. With our recently announced $78.2 million project, we've made a strong first step towards that goal with more on the way. As you can readily see from this quarter's results and committed pipeline, we are well set up for growth in 2025 and beyond through our core building blocks and look forward to delivering on the promise that this differentiated strategy, portfolio and team provide. With that, I'll turn the call over to Ryan who will provide additional updates on our build to suit and acquisitions pipeline as well as portfolio matters.
Ryan Albano: Thanks, John. And thank you all for joining us today. With six in process build to suit development projects under construction, totaling an estimated investment of $305.9 million and an exciting new developer partnership just announced, we are advancing steadily on our path to creating a robust and resilient pipeline of development opportunities that will drive attractive growth in 2025, 2026 and beyond. Our in process build to suit pipeline has a strong weighted average initial yield of 7.4% and a fantastic weighted average straight line yield of 8.9%, driven by weighted average lease term and rent increases of approximately 13.2 years and 2.9% respectively. And as you have heard us say repeatedly, these projects come with stronger tenant credit, higher quality buildings and better real estate fundamentals, which provide us with a high degree of confidence in the long term value that these assets represent. In addition to the attractive earnings growth provided by this strategy, we are targeting a minimum spread between our development yield and stabilized value of 100 basis points, representing an additional layer of value creation, a rarity in that lease world that we expect to recognize either in the form of NAV accretion or through positive capital recycling upon a sale of the asset. Our recently announced project with Prologis is for a new state of the art distribution facility for FCA U.S. LLC, an existing tenant of ours and the US subsidiary of the investment grade rated top five multinational automotive company Stellantis that is expected to deliver in the third quarter of 2026. The facility is strategically located along I-75 in the Atlanta MSA, providing access to population centers throughout the Southeast, which continues to benefit from strong demographic trends that support long term demand for industrial space. At completion, BNL will own a new Class A industrial asset equipped with 36 foot clear heights, full HVAC, heavy power and additional trailer parking appealing to a wide variety of logistics operators. We are excited and proud to be partnering on this project with a customer led development team at Prologis. As you can see from this latest development project, we are leveraging new and existing relationships to build our pipeline, further deepening relationships that should provide ample opportunity for more projects in the near term. As with all of our build to suit projects, we have structures in place to mitigate the traditional development risk associated with construction delays and cost overruns, including those associated with the recently announced tariffs, whether it's through general budget contingencies and allowances built into our overall construction cost estimates for each of our projects, GMP or lump sum construction contracts, which set forth a maximum price for certain construction costs and shift inflation risk to the general contractors, change order processes or the like, we are well positioned to deal with any unanticipated cost issues that may arise. This is one more example of our proven ability to structure our development projects to mitigate risk while helping our customers and developer partners secure projects and grow their respective businesses. As I said on our fourth quarter call, we are also in the process of expanding our pool of developer relationships beyond those currently announced. Prologis is the first of many new relationships we plan to add as we expand and deepen our development program. Our growing set of developer partners have recognized the value we bring to the table and we expect to have some additional news to share soon. Turning to our investment activity so far in 2025. We have invested $103.9 million in new property acquisitions, build to suit developments and revenue generating CapEx. The completed acquisitions and revenue generating CapEx had a weighted average initial cash cap rate lease term and annual rent increase of 7.2%, 13.8 years and 2.5% respectively and had an attractive weighted average straight line yield of 8.3%. Our total investments were weighted approximately 80% to industrial properties and 20% to retail. As we head into the second quarter, we also have $132.9 million of acquisitions under control and $4.5 million of commitments to fund revenue generating CapEx with existing tenants. Now shifting to our in place portfolio. We have already addressed a number of 2025 rollovers and only 1% of our ABR remains to be addressed for 2025. With only 3% of our ABR rolling in 2026, we have minimal near term rollover concerns and are actively engaged with our tenants on those leases. Given the overall macroeconomic uncertainty, we continue to see incremental pockets of credit risk. We see further strain being placed on consumer centric industries and entities with less flexible capital structures stemming from the lengthening duration of the higher interest rate environment, broader market conditions impacting business operations and potential tariff induced inflation pressures impacting inventory sourcing and cost structures, which in turn may influence consumer spending. We remain vigilant in our tenant monitoring efforts and maintain great confidence in our portfolio due to its diversified construction, which limits the impact of any potential individual credit event and our proven ability to manage through any such situation that may arise. Our watch list has remained fairly consistent and consumer centric tenants as well as some of our remaining clinically oriented healthcare properties, including our tenant Stanislaus Surgical remain in focus. Broadly speaking, the home furnishing space continues to be in focus for us as well, specifically including our exposure to at home. Given the potential impact of tariffs on its inventory sourcing and cost structure, we are also paying close attention to Claire's. As we announced last quarter, we own 10 Zips Car Wash sites under three separate master leases, which account for 62 basis points of our full year ABR. We have received rent through April, expect to receive rent throughout the remaining portion of the bankruptcy process and are finalizing negotiations on our sites. It is our current expectation that Zips will remain our tenant at nine of the properties and that we will dispose, retenant or redevelop the one remaining property. Upon execution of new master leases and Zips emergence from bankruptcy, we expect to recover approximately 80% of the ABR previously generated by Zips and only incur approximately 9 or 10 basis points of bad debt from Zips in 2025. We are pleased with this outcome and believe this result is a further testament to and evidence of the strength of our underwriting and ability to patiently and prudently address tenant credit matters. With that, I'll turn the call over to Kevin.
Kevin Fennell: Thank you, Ryan. During the quarter, we generated adjusted funds from operations of $71.8 million or $0.36 per share. Results benefited from recent investments and lower vacant asset and re-leasing related operating expenses, which served to offset rent loss from dispositions that occurred in Q4. Core G&A totaled $7.4 million for the quarter, reflecting our continued focus on controllable expenses and bad debt totaled 86 basis points, substantially driven by non-payment from Stanislaus, one of our remaining clinical healthcare tenants. During the quarter, we amended our $1 billion revolving credit facility. Among other changes, the amendment extended the initial maturity date to March of 2029 and reduced the all in borrowing rate by 10 basis points. Additionally, we refinanced our $400 million term loan that was set to mature in February 2026. The new term loan has an initial maturity date in March of 2028, includes two one year extension options and includes a $100 million delayed draw option that is available to us through late May. This $1.5 billion transaction reflects the depth and strength of our banking relationships and we very much appreciate their continued support of and investment in our business. We ended the quarter with pro form a leverage of 5 times net debt, $38.1 million of unsettled forward equity and approximately $826 million available on our revolving credit facility. The strong and flexible financial position provides us ample capacity as we pursue incremental investment opportunities. Regarding our dividend, our Board of Directors elected to maintain our $0.29 dividend per share payable to holders of record as of June 30, 2025 on or before July 15, 2025. Finally, as John mentioned, we are maintaining our 2025 per share guidance and key assumptions that we provided on our last call. It's worth reminding everyone that our per share results for the year are particularly sensitive to the timing, amount and mix of investment and disposition activity, as well as any capital markets activity that may occur during the year. Please reference last night's earnings release for additional details and we will now open the call up for questions.
Operator: Thank you. We will now begin the question-and-answer session [Operator Instructions]. The first question comes from Anthony Paolone with JP Morgan.
Anthony Paolone: I guess first question is, looking at your industrial exposure and just curious how you're going about just watching credit given the impact of tariffs, particularly on the 17.5 of the ABR that's from manufacturing activity and just wondering how you're going about that and approaching it?
John Moragne: So we took both the top down and the bottom approach here. We looked at individual tenants to see where we thought there might be some softness or some concern around the tariffs. We also looked at it from a top down approach in terms of what industries we think might be hit in a different way. And as we highlighted with 17% manufacturing, that was certainly an area where we spent some time. Although, I want to make sure we emphasize here that manufacturing is not a monolith, they all don't do the same thing in the same way. Just as like distribution space or food processing or whatever else, you have to sort of get into the weeds and understand what our tenants are doing and how. So even within that manufacturing bucket or any of the other buckets within our industrial, there's pockets there where there's incremental concern. And we've had some good calls with folks in trying to understand how are you approaching the tenants, what are tariffs, how are your concerns, how are you going to navigate it, do you have the ability to pass those costs on to their end users, do you have minimum volume requirements in your contracts, all the things that you'd want to know and understand. And of course, first and foremost, where are you getting your inputs, where do you get your inventory from, what are the different countries, are you subject to just a baseline 10% tariff or do you have a majority of it coming from China. On the other hand, we also have some tenants in our industrial sleeve as well as other sleeves where they actually are positioned really well to benefit from the current environment, either from having a highly US domestic focused production line, sourcing system, they've made changes over time where they've adjusted for this in anticipation of it. And we've actually even heard from some of our customers and tenants that this isn't the first time they've had to deal with this. There was a raft of tariffs back in 2018 and 2019 and so this isn't the first time they've dealt with it and they'll manage through it just fine. So there's a couple of spots where we're paying more attention. You heard Ryan talk about it a little from a watch list standpoint. But overall, we feel very pleased with where our portfolio sits.
Anthony Paolone: And then just to follow-up, can you remind us or give us some context around how much bad debt is in the guidance for the year and maybe how much you think is kind of spoken for with some of the things you already talked about versus like where you have some cushion for the rest of the year?
John Moragne: We've started the year at 125, we've maintained that through to today. We think with the overall environment, it's prudent to sort of hold firm to where we started the year. We talked about with our first quarter call for Q4 there, part of it was informed by known issues that we were dealing with in the portfolio, the Zips bankruptcy, which late breaking news, they emerged this morning. So our leases are now in effect. We feel really proud about that adjustment. So Zips was north of 60 basis points in total exposure. Our bad debt relative to Zips, as you heard from Ryan, for the year is going to be about nine or 10 basis points. New leases in place for nine of our 10 assets, so we feel very pleased there. We're also navigating Stanislaus, working to resolve that fairly quickly. Messaging there hasn't changed. Stanislaus is one tenant of ours that is a part of a much larger healthcare sort of work around workout situation that we're not planning on sticking through, because it could take a long time. So looking to sell that fairly quickly. So we started with 125 basis points. There certainly are areas where, including Zips, that we've done a lot better than we potentially could have at the beginning of the year. So there's a little bit of extra room that's built into it. But we're going to hold the 125 for now and we'll reassess that after Q2 and into Q3.
Operator: The next question comes from Caitlin Burrows with Goldman Sachs.
Caitlin Burrows: I think just in the prepared remarks you mentioned that Claire's is a tenant that you're watching, which they've been in the news before, so noted. But I was just wondering if you could go through what your exposure is there, like is it a distribution center or what is it?
John Moragne: We own their primary or actually their sole distribution facility here in the United States. We know the asset well. We actually own an industrial asset across the street from it. It's about 78 basis points of exposure for it. It's their corporate headquarters, 4,000 square foot distribution warehouse off in States, Illinois. We had some good conversations with them as a result of the tariffs announcement, of course, a lot of their product comes from China and other places. And they're viewing this as very much a long term thing in terms of how they think about realigning their logistics chain and their inventory process. They're also in the middle of working on up-tiering their footprint. By the end of the year, they're looking to get out of their nonproductive stores, they've got shorter lease terms, they're looking to move into upper tier higher end malls to try to drive better foot traffic, better average tickets as people are cashing up the stores and things like that. So from a real estate standpoint, it's in a good location. It's a good asset. If they are not there, we certainly could think about some redevelopment or retooling that for a new tenant. But assuming Claire's is able to continue to perform and navigate their way through a difficult environment, particularly one with the tariff issues there, they're going to be at our asset and continue to paying rent.
Caitlin Burrows: And then maybe on the build to suit side, I think last quarter, you mentioned that you had the goal of $500 million. Now you've announced the $78.2 million. I think at the time you had $700 million, if I'm not mistaken, in the point of discussion. So now taking out what's already been announced, I guess can you go through like an update of that pipeline, have deals moved out or is anyone that was previously there still there and being considered just movement in that category?
John Moragne: So the pipeline continues to be pretty robust there. We've got a lot of opportunities we're kicking around. The tariffs announcement has had an impact on how we think about costs, and Ryan talked about that in prepared remarks and the way that we've been able to navigate through the cost considerations there. The broader macroeconomic uncertainty has had a little bit more of an impact on a handful of opportunities where people, they still want to be able to move forward but they want to hit the pause. That being said, our pipeline is as robust as it was in the first quarter when we talked about it. Our goal hasn't changed. As you heard me say in my prepared remarks, we're still looking to do $500 million this year, and we think that's doable. The biggest change for us over the course of the year is going to be as we continue to add more developer partners to the roster. Now the one that we announced, the $78.2 million deal with Prologis, was really important. We're very happy with that relationship and looking to try to do more with them over time. But there's others -- other developer partners that we're in contact with and discussions with right now that we're expecting to make some announcements in the next few months. And as we add more to the roster, it just opens up the funnel a little bit more and find more deals. So even though there's some broader shakeup that could be happening in terms of people pulling back from a macroeconomic standpoint as we increase our funnel and sort of the aperture of deals we're able to see through the developed partner relationships, we have absolute confidence in our goals for the year.
Operator: The next question comes from John Kim with BMO Capital Markets.
John Kim: On your development and the funding for it, just wanted to confirm that you plan to spend -- or the remaining spend of $192 million will be sourced from the line or will there be other sources of capital? And what is the plan or the timing as far as obtaining permanent financing either on those assets or if we have capacity on the credit facility?
John Moragne: Right now, we've got ample capacity on the facility. As you heard, pro forma leveraged at 5 times. We've got north of $800 million remaining on the revolver. We've got the $100 million term loan that we can take down by the end of the month. We've got $38 million sitting in the ATM. So we're flushed with capital. We don't need any right now. Longer term plans, we don't intend on putting permanent financing on any of the deals that we're doing. It's not to say that we wouldn't consider it in the future if it made sense. Overall, we continue to want to control our own destiny. If we're in a spot where equity capital markets are constructive to investing for us then we'll absolutely take a look at it. And if not, we'll control the destiny by selling assets that are in the portfolio, either on existing basis or as we ladder into the build to suit portfolio. You heard Ryan in his prepared remarks talk about the opportunity for us to capture some additional value. We're sourcing build to suit deals with a view that there's a minimum of at least 75 to 100 basis points of accretion that we can get on a stabilized basis that we can either try to capture through NAV accretion or by selling the assets. So as we continue to add to that ladder, we'll look for ways that we can finance it ourselves through our portfolio, through the build to suit process rather than having to go to the market and make decisions that we may not be there [indiscernible].
John Kim: On your development project with Prologis, obviously, it's a very, very strong well capitalized partner. Can you just provide some color on how you source that transaction, if you think there will be further opportunities to partner with them? And maybe provide some color as to why they decided not to keep that asset either on balance sheet or maybe sell to one of their funds?
John Moragne: So the first part is we have a really, really well connected team here within the development space. We have a lot of relationships throughout developer space overall with the brokers that are in that space, with the developers themselves, with the tenants, with the contractors, you name it. So this is a deal that was sourced through our relationships. It was a direct one that came in and we were able to find a way to make the deal work. That is -- I think one of the key things that we've been highlighting with investors is that the competitive world in our build to suit development pipeline is very different from regular way deals. We're not going up against 20 or 25 people in first rounds and sort of working your way down on a price basis to best and finals. These are first and foremost relationship based deals where developers are coming to you and saying, I have this opportunity and I'd like to partner with you on it. Can we make this work? Is there a way to pencil out the budget in a way that works for both of us? So you start from there and it's first and foremost relationship based. And the relationships that our team brings brought this one to us. To take the second part of your question, why would Prologis do this? So they have, of course, their core business where they're building spec, large scale industrial in core markets, primary markets, you name it. They also do what they call their consumer led or customer led development process, which is specialized build to suit deals, hence the one that we're working on with them here. They want to be able to capture the revenue and the fees associated with deals like this but they're not necessarily deals that they would wanna keep on balance sheet in the same way that they would their core business, which actually ends up making for a really nice symbiotic relationship between us, because these are absolutely the types of deals that we want to hold long term and keep on our balance sheet. They're looking to service their clients, bring in that revenue and make sure that they are continuing to build a diversified set of revenue streams for their business. But they don't necessarily want to hold it. So this was one of them that fit perfectly inside of that sort of Venn diagram where it's one that we wanted and it's one that they wanted to be able to build, and then we can hold it long term.
John Kim: Is there [anything] specialized with this particular asset or is this standard [warehouse] asset?
John Moragne: Could you repeat that?
John Kim: Is there anything specialized or different or maybe atypical to their product with this project?
John Moragne: For this asset, no. I mean, in terms of geographic location, it's a little bit outside of where Prologis would traditionally be, but the build itself is fairly standard. The relationship that they have with Stellantis and FCA is fairly large and they're doing other projects with them around the world. So this was just one that they decided they wanted to run through that consumer led development team and partner with us.
Operator: The next question comes from Upal Rana with KeyBanc Capital Markets.
Upal Rana: Just going back to the new Fiat build to suit, the 6.9% cap rate seems relatively low compared to the remainder of your pipeline. Could you give us some color on the yields there? And is this something we should be expecting more of the range going forward?
John Moragne: So it's a tick lower than where we are. Obviously, on a weighted average basis, we're still very pleased, 7.4% on the upfront cap rate, 8.9% on a straight line basis. I mean, that's really fantastic returns across this strategy. Here at 6.9% on the upfront cap rate, I think that's really just reflective of the fact that this is an investment grade tenant, not just investment grade tenant, it's a top five auto company in the entire world. So it's a fairly large credit in addition to being a credit rated one, and then the geography in the Atlanta MSA. So you add those three things together and it sort of had those slight tick down from where you see the rest of our build to suit pipeline.
Upal Rana: And then could you remind us on some of the -- the pace of your plan to fund your existing build to suit pipeline this year and going into 2026?
John Moragne: So the goal, of course, as I said was $500 million. We've got the $305.9 million that's under control today. We expect to fund about $217 million of that in 2025. The remainder of that would be in 2026. And that all adds up to, as I said, the $22.6 million in incremental ABR growing our rent base by 5.6%.
Upal Rana: And last one for me was, we saw that your exposure at Dollar General in the quarter increased. And what was the decision behind picking a handful of those assets up and considering some of your peers have been taking steps to reduce exposure to that tenant?
John Moragne: We added four that was a direct relationship with the developer of the properties. We've got 14 year leases on those. We're going to be more than one times out on our money by the end of the lease term. I understand some people might want to be reducing their exposure but their exposures are far larger than where we sit today. So adding incremental for us isn't necessarily pushing the bounds of where we would want to take it. Dollar General continues to be a great place we think to allocate capital. We got those in the mid 7% cap range and getting 1 times out on your money within the 14 year period from a tenant that you know is going to pay every dollar rent all the way through the end of that term feels really good.
Operator: Our next question comes from Ryan Caviola with Green Street Advisors.
Ryan Caviola: I know this is more likely a mid to long term variable. But could you talk on how the impact of onshoring is expected to affect your industrial portfolio?
John Moragne: Some of that we're pretty bullish on. As you can imagine, we are heavily weighted towards industrial just as a starting matter for where our portfolio sits and the way that we're leaning into the build to suit strategy fits perfectly into conversations we've been having with developers as well as our tenants and other partners about the view that people are interested in bringing more of their production and distribution capabilities onshore into the United States. So we think we're incredibly well positioned to take advantage of that what we think is going to be a longer term trend in the industry to help people build those facilities out, particularly as you're seeing the shift in overall development projects get back to a place where build to suits, the specialized build outs are taking up a larger share of overall development volume in the states versus spec. So we think we're really well positioned and are looking forward to seeing more of it.
Ryan Caviola: And then in the transaction markets in general for industrial properties that will benefit from the onshoring, are you seeing an uptick in competition at all? Are other REITs or private buyers getting interested in these properties?
John Moragne: There's been a lot of competition in industrial the last couple of years, that's the spot where we've actually seen more even than we have on the retail, particularly as sort of the 1031 buyer slowed a little bit in the last couple of years in the retail space. The biggest spot where we've seen the most competition and cap rate compression is on the larger deals, whether it's individual deals of substantial size on an individual property basis or even more so on the portfolio deals, that's where we're seeing huge amounts of competition. The private buyers in the space have big mandates in terms of where they have to go out and spend and deploy this year. And so their ability to -- or their desire to be able to do that in bigger chunkier things means they're pushing pricing on those deals, which makes us feel better about our specialized focus on the build to suit nature and then also the relationship based individual regular way deals that we've been focused on this year and last year.
Operator: The next question comes from Michael Goldsmith with UBS.
Michael Goldsmith: You got rid of some of the healthcare facilities in the quarter but your healthcare services exposure was steady. Are there separate puts and takes into these two subtypes of healthcare assets that factor into your disposition strategy, and maybe what's the outlook for your healthcare exposure going forward?
John Moragne: So anything with -- that's within the other bucket. So for us, that's the remaining 3% that's in there. On clinical surgical assets, we have a long term view of reducing that to zero subject to there's a larger asset in there that we may hold long term, really high performing orthopedic practice in Arkansas that we may hold for a long time. Otherwise, the clinical surgical bucket, we would love to see go to zero over time but we'll deal with those on a one off basis as we did in the first quarter with those couple of sales that you saw that we accomplished. Healthcare services, anything that falls more into that medical retail type bucket, we intend to hold long term and we're open to further investment in those assets or acquiring other ones if the risk adjusted returns and the cap rates and things make sense.
Michael Goldsmith: And some of your top tenants are in the food processing and warehousing space. As we've seen with some of the cold storage operators lately, trends in that space has been a little bit volatile. So I guess are you seeing any impact on the health of these tenants or the tariffs weighing on that, shipments being -- getting canceled just any concern around that space overall?
John Moragne: Food processing, cold storage, all of those things, I'll refer back to my comments earlier on the tariffs in terms of the way that we've been evaluating those. Some of those tenants, we've got incremental concerns with and we'll have conversations with. Otherwise, there's others that are in there that we think are actually going to benefit really well from this environment. But in terms of comparing it to other sort of cold storage operators and things like that, the key differentiator here is that we have essentially boxes and boxes. The product that's inside these facilities are -- is the product that's owned by our tenants. These are not third party logistical sites we're worried about their overall utilization and shipments and inventories and things like that, they're using and occupying this space on a 100% basis.
Operator: The next question comes from Ki Bin Kim with Truist.
Ki Bin Kim: Going back to your development business, can you just talk a little bit more about where is it in the value chain that you're bringing value? Is it mostly on the capital availability side of it or how often is that the case you're bringing the deal coming from the tenant and finding a developer?
John Moragne: Primarily, it's on the capital side. Our developers are looking for surety of execution. They want someone they've done a deal with before. They want someone they know is coming to the table with the money they need to get the deal done. And as I've talked about a handful of times doing it in a way that's differentiated in from the traditional development model where they're having to chase three different pockets of capital from mortgage financing to their limited partners for the construction period and a takeout buyer at the end. Being a one stop shop and someone that they've done repeat deals with is really attractive to developers, because what they want to be able to do is get in there, build these projects, collect their fees and move on to the next one. So as we partner with them, they're more likely to come back to you for the next one, because they know that you performed and you'll perform again. As we have grown our sophistication in this business and we've started to have further conversations within, internally and with our tenants, we absolutely are looking for opportunities where we can bring deals to our developer partners and make this a two way street. So that's something we hope to do more of in the future. We're starting to have some success in it now but it's one that is still a little bit nascent and will be growing over time.
Ki Bin Kim: And for example, like the Prologis deal, do you see that as like a repeat business in the foreseeable future or do you see it as like more one off?
John Moragne: Repeat business for sure, not a one off. We've already had multiple conversations with Prologis about other potential deals within their pipeline that we might be able to partner on. I wouldn't put a timeline on it. These things have a really long conversion time frame associated with them and deals can get delayed or accelerated for a whole host of reasons. So I wouldn't put a timeline on it but that's absolutely part of the excitement that we have about this relationship. And if that there's a repeat opportunity, there's a really deep pipeline associated with Prologis and it's one where as we perform well as we did here we expect to have opportunities to hopefully do more with them.
Ki Bin Kim: And if I could add a third one on this topic. Where have you or intend to add more personnel for this business in terms of like what type of roles…
John Moragne: It's not we've been spending a bunch of time on lately is in the ongoing management. These are -- I like to joke that once we've closed on the land, we've signed the lease, all we got to do is cut checks until we start collecting rent and that is a gross oversimplification of the amount of work that goes into managing a build to suit while the construction is happening. That's the area where we think there's some incremental hires. So it's not necessarily on the sourcing, it's not necessarily at a higher level. We really need to be thinking about how are we adding additional capacity to manage these projects once they've been added to our build to suit schedule in terms of evaluating the construction progress, the draw requests, managing that. So that's the area where we've been spending a little bit more time thinking about personnel.
Operator: Our next question comes from Ronald Kamdem with Morgan Stanley.
Ronald Kamdem: I had two quick ones. And going back to the Prologis sort of deal and relationship, I had sort of a similar question, trying to understand sort of the nature of the relationship and how big this could go, this could get. It sounds like there's other deals in the pipeline. But is this an annual cadence? Just any color on like size as well, right? Like are some of these deals larger or smaller? And also, just I think you said it before but I didn't really understand it, but just the value add of bringing you guys in versus Prologis going out in alone, would be helpful.
John Moragne: The hope is that it's not just an annual thing. We'd love to see more opportunities hit during the year, because of Prologis. Deal size with them is sort of just by nature of their business going to be a little bit larger than we might see with some of the other developers that are in our roster. In terms of what value we bring to them, they have multiple revenue streams that they are focused on in terms of their core business, their international business, whatever else. The consumer customer led development team is one where they are focused on being a fee developer, not a long term owner. So the projects that they have in here and they have a team that's dedicated to this type of work, they are not looking to do this on balance sheet and then hold this asset for the long term. So they're looking for people like us that are going to step in and help them. And the relationships that we have in the space through our team brought this initial one to us. So now we're at a spot where we have closed on the initial deal. We have docs in place. We understand each other really well in terms of what each of us needs in terms of making a deal work and be mutually beneficial. And so now it's going to make it incrementally easier for us to partner with them on, hopefully, deals in the future.
Ronald Kamdem: And then on the construction side, it's been asked different ways. But I'm just curious if there's any quick pricing changes that you've seen? It's feel like whatever -- just what the quick read is since April 2nd, how pricing is moving, maybe to the good or to the bad, right, on any sort of commodities or parts that you guys need, would be helpful?
John Moragne: Certainly, some moving parts in terms of pricing here in terms of the inputs, whether it's steel or it's concrete, electrical switch gears, you name it. There's been changes in the pricing. What we've been focused on is as we've been evaluating new deals is how are you sourcing the inputs and the materials that you need for this project, does it make sense for you to go and buy them today even though it might be slightly incrementally higher than what it might be in the future if the tariffs were to go away, let's have surety of execution and bring them on board. If there's a change over the period of time, as Ryan talked about, we've got lots of ways to be able to deal with that, whether it's working it within the construct of the budget for the general contractor, adding a contingency or an allowance to adjust for it, using a change order process, putting that additional expense on the tenant to be able to move forward. There's lots of ways that we've been able to structure this to ensure that these projects can manage whatever cost volatility that we might experience in the near to long term and still make them work.
Operator: Thank you. At this time, we have no further questions. And so I'll turn the call back to the management team for any closing remarks.
John Moragne: Thanks, Emily. And thanks all for joining us today. Looking forward to seeing everyone in the next couple of weeks, we're going to be on the road a bunch. And if not in the next couple of weeks, we'll see you at Nareit in June. Enjoy the rest of your day.
Operator: Thank you everyone for joining us today. This concludes your call, and you may now disconnect your lines.